Operator: Good morning, ladies and gentlemen, and welcome to the Metro Inc. 2025 Second Quarter Results Call. [Foreign Language] [Operator Instructions] This call is being recorded on Wednesday, April 16, 2025. I would now like to turn the conference over to Mr. Sharon Kadoche. Please go ahead.
Estelle Riva: Good morning, everyone. Thank you for joining us today. Our comments will focus on the financial results of our second quarter, which ended on March 15. With me today is Mr. Eric La Fleche, President and CEO; Francois Thibault, Executive VP and CFO; Mark Giroux, Chief Operating Officer; Jean-Michel Coutu, President of the Pharmacy Division; and Nicolas Amyot, incoming CFO. During the call, we'll present our second quarter results and comment on its highlights. We will then be happy to take your questions. Before we begin, I would like to remind you that we will use in today's discussion different statements that could be construed as forward-looking information. In general, any statement which does not constitute a historical fact may be deemed a forward-looking statement. Words or expressions such as expect, intend, are confident that, will and other similar words or expressions are generally indicative of forward-looking statements. The forward-looking statements are based upon certain assumptions regarding the Canadian food and pharmaceutical industries, the general economy, our annual budget and our 2025 action plan. These forward-looking statements do not provide any guarantees as to the future performance of the company and are subject to potential risks, known and unknown, as well as uncertainties that could cause the outcome to differ materially. Risk factors that could cause actual results or events to differ materially from our expectations, as expressed in or implied by our forward-looking statements, are described under the Risk Management section in our 2024 annual report. We believe these forward-looking statements to be reasonable and pertinent at this time and represent our expectations. The company does not intend to update any forward-looking statements, except as required by applicable law. I will now turn the call over to Francois.
Francois Thibault: Thank you, Estelle, and good morning, everyone. So total sales reached $4.9 billion in the second quarter, an increase of 5.5% versus the same period last year. Food same-store sales were up 5.2%, with sales positively impacted by the transfer of 2 significant pre-Christmas shopping days from the first quarter to the second quarter of this year. When we adjust for this calendar shift, same-store sales were up 3.9%. In pharmacy, we recorded solid same-store sales of 7% on top of 5.9% in the previous year. Our gross margin stood at 20% of sales versus 19.9% in the same quarter last year. Operating expenses were $521.3 million, representing 10.6% of sales, versus 10.7% of sales in the same quarter last year. We benefited from the fact that we cycled transition and duplication costs last year related to our Terrebonne automated distribution center, but these benefits were probably offset by increases in other areas, notably energy costs in Ontario due to cold weather and an increase in fees related to our online partnership fees -- partnership sales, sorry. EBITDA for the quarter totaled $461 million, up 5% year-over-year and up 6.8% when we remove the gain and losses on disposal of assets. Total depreciation and amortization expense for the quarter was $136.1 million, up $6.6 million or 5.1%. The increase in depreciation and amortization expense is mainly due to the commissioning of investments in our supply chain, including some automation technology in pharma and the final phase of our fresh distribution center in Toronto last summer, as well as the timing of retail investments. Net financial costs for the second quarter were $33.4 million compared to $34.1 million last year, and that decrease in financial cost is mainly due to overall lower interest expense on our debt, partly offset by lower capitalized interest. Our effective tax rate of 24.5% is lower than the effective tax rate of 26.5% in the second quarter last year as a result of the Terrebonne tax holiday of $6 million. Adjusted net earnings were $226.6 million compared to $206.4 million last year, a 9.8% increase. And adjusted net earnings per share amounted to $1.02 versus $0.91 last year, and that's up 12.1% year-over-year. On the food retail side, after 24 weeks, we converted 2 stores and carried out major expansions and renovation at 8 stores for a net increase of 18,100 square feet or 0.1% of our food retail network. Following the end of the quarter, we opened a new Food Basics in Ontario and converted another Metro store to Super C in Quebec. Under our normal course issuer bid program, as of April 4, we have repurchased 2.849 million shares for a total consideration of $264 million, representing an average share price of $92.65. I'll now turn it over to Eric.
Eric La Fleche: Thank you, Francois, and good morning, everyone. We delivered solid results in the second quarter driven by strong sales growth in both food and pharmacy as our teams continue to focus on bringing value to our customers across our different banners. Food same-store sales were up 5.3% or 3.9% when adjusting for the 2-day Christmas shift to the second quarter. Discount continues to grow same-store sales faster than Metro, with the gap between both remaining stable. Our internal food basket inflation increased versus the preceding quarter, but was slightly lower than the reported food CPI after adjusting for the sales tax holiday. We are seeing inflationary pressures on certain commodity prices as well as a weaker Canadian dollar. The recently introduced tariffs and counter-tariffs did not impact food inflation in the second quarter. For the quarter, transaction count was essentially flat, with the average basket up. Promotional penetration is up year-over-year, but stable compared to our first quarter. Online sales grew by 26% for the quarter. This growth is driven by the ramp-up of our click-and-collect services in our discount banners and by third-party marketplaces. We are satisfied with our flexible model, meeting customer demand and needs. In this uncertain economic environment, customers are favoring local and Canadian products. As a Canadian owned and operated company, we have always sourced the products we sell from Canadian growers and manufacturers as much as possible. In the current context, we are putting even more emphasis on local and Canadian products and optimizing their visibility in all of our banners, whether in-store, online or through our various promotional tools like the weekly flyer. Customers are responding well and sales of Canadian products are outpacing total sales, and the gap has accelerated over the past few weeks. On the pharmacy side, we delivered another solid quarter with comp sales of 7% for a 2-year stack of 13.3%. Prescription sales were up 7.8% driven by continued organic growth, specialty medications and professional services. We continue to record significant growth in pharmacy services. And in the first 24 weeks of this fiscal year, we documented more than 2.4 million clinical acts and services performed through our network. We are well positioned to capitalize on this growing trend with our dedicated community pharmacists and our leading footprint across Quebec. Commercial sales were up 5.3% or 3.7% when adjusting for the Christmas shift. This strong performance was driven by growth in OTC, HABA and cosmetics. As we begin our third quarter, we face an uncertain economic environment, and it is difficult to predict how the situation will evolve and how it will impact consumers and our business. As I said, to date, the recently introduced tariffs and counter-tariffs has not had an impact on our business. However, the situation remains highly volatile. We remain steadfast in our focus to deliver value to our customers through robust merchandising programs, strong private label and loyalty offers, and working with our vendor partners to find alternative sources of supply, whenever appropriate. To conclude, we remain confident that our sustained investments in our retail networks and supply chain, combined with strong execution, will continue to fuel our growth, and we maintain our medium- to long-term average annual EPS growth target of 8% to 10%. Finally, as most of you know, Francois Thibault is retiring at the end of the week, and this is his last analyst call. I want to take a moment to highlight his significant contribution to our success since 2012. I want to personally thank him for his leadership of our finance, legal and IT teams as well as for his partnership and friendship. Thank you, Francois. He will be replaced by Nicolas Amyot, who joined us about 1 month ago, and I'm sure that, like Francois, his aerospace background prepared him really well to be our CFO. So Francois, do you want to say a few words?
Francois Thibault: Thank you, Eric. This is my 52nd and last earnings call. It was an honor to be Metro's CFO for the last 12.5 years. I will definitely miss engaging with all of you and the investor community. Thank you very much. And we'll now take your questions.
Operator: [Operator Instructions] Your first question comes from Tamy Chen with BMO Capital Markets.
Tamy Chen: Just wanted to start with your outlook statement. The comment on the current environment I understand given all the tariff aspects. But just given your business in grocery, a key staple for consumers, I'm just wondering what are you specifically flagging? Are you seeing in recent weeks the tariff offsets have ramped up, that consumer behavior in your banners have changed recently? Are they shifting back a lot more to discount? Just if you can talk a bit about that. And how should we think about the rest of this fiscal year, and already in the first half, you've achieved that 8% to 10% target.
Eric La Fleche: So customer behavior has not changed. Essentially, the focus on value that's been out there for several quarters remains. We saw that in Q2, just like we did in Q1. So I mentioned the high-promotion penetration, high private label, some trading down. There's no change in customer behavior. I think our outlook statement referred more to the general macroeconomic environment with all this uncertainty and turbulence that we're all experiencing and how can that affect consumer sentiment, consumer confidence over the rest of the year. So as you say, we are a staples, essential goods retailer and distributor. We're well positioned in any type of environment. We're confident that we'll continue to grow. But there's volatility and uncertainty, and that affects customers and ultimately, can affect businesses. So that's all we wanted to point out.
Tamy Chen: I see. Okay. And my follow-up is good growth in the pharmacy business, that continues, it's outpacing food. I guess I just would have thought maybe to see a bit more positive impact from mix on your gross margin from that. Are you able to talk a bit more about the puts and takes to your gross margin this quarter? Was food margin down year-over-year?
Francois Thibault: We don't disclose margin between the divisions. I think we don't -- we try to have effective merchandising and have the right pricing for our customers. So we did improve gross margin overall by 10 bps, rounded, and that was helped by some top line growth, obviously.
Tamy Chen: Sorry, we're going to have supply growth?
Eric La Fleche: So as Francois said, we don't disclose gross margin between food and pharmacy. Yes, there was a good growth in pharma, consistent growth in pharma. So I don't think -- I can just say that it did not have a material impact on the total gross margin. The mix has been pretty consistent.
Francois Thibault: Yes.
Operator: Your next question comes from Michael Van Aelst with TD Cowen.
Michael Van Aelst: Congrats on the good results. I wanted to continue on the outlook statement just because you -- the last, I think, 4 or 5 quarters, you've had the 8% to 10% long-term target in your outlook statement, but it was noticeably absent this quarter. Is there anything that you're trying to signal there? Or is this just because you've kind of gotten past your fiscal '24 period when you were below that range and you no longer feel the need to reassure investors of that long-term target?
Francois Thibault: Yes. Michael, exactly what you just said, the latter. This is an outlook that was written coming out of our transition year where we said that after that transition year, we expect it to gradually resume our profit. We look at where we are after 6 quarters, we felt that, that was no longer relevant as a comment, but we certainly are maintaining our growth targets of 8% to 10% on a medium-, long-term outlook.
Michael Van Aelst: Okay. So there was nothing in your immediate future that led you to be concerned about your near-term outlook once again.
Francois Thibault: Absolutely nothing.
Michael Van Aelst: Perfect. Okay. Just on the top line, on the grocery side, it did accelerate in the quarter. Particularly, the same-store tonnage looked quite strong. And I'm hoping that you could help us understand where this is coming from because I'm assuming that people aren't necessarily eating a lot more tonnage. So you're gaining share and where is that coming from? And why do you think you're gaining share?
Eric La Fleche: Well, we're gaining share slightly. We're pleased with our market share performance overall in the markets where we compete. We will give you by market, by banner or whatever. But overall, we're pleased with our tonnage and our market share. There's not much else. Marc, do you want to comment more on that?
Marc Giroux: The result of a few factors, I would say. One, good and effective commercial strategy in market, in both discount and conventional, both formats are performing well in each market. Secondly, there's a bit of Christmas shift in that as well in terms of the tonnage. There are 2 days of large basket sales from Q1 to Q2. So that had a little bit of an impact. But overall, effective commercial strategy in both markets. So we're satisfied with those results.
Michael Van Aelst: Okay. And to what degree is the greater capacity, the increased freshness in your supply chain -- like greater capacity in your DCs, your increased freshness, I guess, your increased in-stock positions, how much do you think that might be helping?
Marc Giroux: It’s difficult to evaluate, Michael. But for sure, our new fresh capacity in both provinces are helping our in-stock position and service the stores, but I couldn’t evaluate exactly how much.
Operator: Your next question comes from Mark Carden with UBS.
Mark Carden: Best of luck, Francois. To start, you talked about customers gravitating towards Canadian-made products. Do you believe that you're seeing much of a lift from shoppers also moving any of their shopping away from American-owned retailers as well? Or is it mainly just a shift in what they buy?
Eric La Fleche: What we're seeing is a shift in what they buy. They're looking -- we put a lot of signage through our stores, on the shelf, on displays, to help customers make decisions on what products they want to buy. So yes, Canadian -- Quebec local products, Ontario local products, Canadian products in general, are selling well and better than the rest of the store. We're not going to make a comment on are we attracting from other stores, U.S.-based stores. We're pleased, like I said earlier, with our market share, which is sustained over the long term and had slight gains, and that's okay. But can we pinpoint to an increase in traffic because of U.S. stores? I don't think we can say that.
Mark Carden: Got it. That's helpful. And then as a follow-up, are you guys seeing competitors largely marking products as being tariffed to date? Are many passing these through? And then are you seeing any more flexibility from suppliers in trying to absorb any of the costs?
Eric La Fleche: I’m not sure I got the first part of your question, but the counter-tariffs, where the Canadian government is imposing tariffs on U.S. product coming in here, it’s on a limited number of food products and HABA products. So the effect is limited so far. And yes, some U.S. vendors have been working with us to mitigate that and help us to maintain the volume. So it’s been a little over a month of these counter-tariffs. It has not had really an impact on retail inflation so far, and vendors have been working with us. That said, we’re working with alternative suppliers when we can to satisfy the needs of customers who want to buy non-U.S.
Operator: Your next question comes from Mark Petrie with CIBC.
Mark Petrie: Congratulations, Francois, and certainly wish you all the best in future endeavors. It's been a pleasure dealing with you and working with you.
Francois Thibault: Thank you, Mark.
Mark Petrie: I just wanted to ask on the tariffs and sort of the impact on consumer behavior and uncertainty, if you've seen that manifest in the Jean Coutu business at all. And thinking maybe of front store and some of the higher price point products, I know you don't go into prestige beauty, but curious how the beauty category specifically has performed.
Eric La Fleche: Jean-Michel?
Jean-Michel Coutu: Yes. Thank you. Our beauty category continues to perform very well. It continues to be one of the drivers of growth in our pharmacy division. Right now, we're very similar to food. Very limited number of SKUs have been affected by the tariffs. So we're not seeing much change due to the tariffs, but customers continue to look for value. Promotional mix continues to be strong. So it's very reflective of what we're also seeing in the food sector.
Mark Petrie: Okay. And Eric, I just wanted to follow up on one of your comments with regards to the relative performance of full service versus discount. I know discount continues to grow faster than full service. I think you said the gap has remained steady. Curious if that holds sort of in Q3 to date or if you've seen that waver at all as some of the tariff commentary has ramped up.
Eric La Fleche: It's still pretty consistent. I said that the same-store sales within our shop, between conventional and discount, is remaining stable. There's more growth in discount. That continues. We'll see how the -- like I said, it's volatile, it's fluid. We'll see how customer sentiment and behavior evolves week by week. But so far, in the third quarter, it's been pretty consistent.
Mark Petrie: Okay. And then I guess just the last one, sort of related to that, any change in how you've seen consumers engage with the loyalty program? Or any shifts on your part with regards to how you want to present that to consumers in this kind of environment?
Marc Giroux: Well, loyalty – Mark, it’s Marc. Loyalty is a way to deliver value to the consumer and to allow them to save. So it’s one of the levers of our commercial strategy. As you all know, we launched in Ontario in Q1. The program – the sign-ups to the program were positive with good momentum, and we’re going to continue to focus on engaging customers and bringing them value. So loyalty in both provinces is a lever of value and is part of our commercial strategy and will continue to be, and is important in the current context where consumers are looking for value.
Operator: Your next question comes from Irene Nattel with RBC.
Irene Nattel: I want to add my congratulations to Francois. I've been there for each of those 52 calls and enjoyed every single one. So thank you, again, Francois.
Francois Thibault: Thank you, Irene.
Irene Nattel: Yes. So just focusing for a second on the PJC side. First of all, on front of store, you talked about HABA, you talked about OTC, beauty. Can you talk -- can you sort of like rank order those? Because it was a really, really nice print and wondering about the Q3 momentum to date.
Jean-Michel Coutu: So rank order in terms of velocity? So yes, OTC continues to be the main driver of growth in our business, especially heading into a good cough-and-cold season. It was delayed, but once it started, it was a good one, and that really helped drive sales. Then after that, it's our beauty categories that continue to show really strong growth. The customers are responding well to our commercial programs. And then after that, it's what's unique about Jean Coutu, our sundry and general merchandise overall continues to perform well. So that's how I would articulate it in rank order.
Irene Nattel: That's great. And on the Rx side, are you seeing a stabilization of the specialty -- or the growth in specialty? Has it started to kind of plateau? Or are we still seeing that very sharp growth trajectory?
Jean-Michel Coutu: We're seeing sustained growth trajectory. So as you could tell, our numbers are consistently growing. And when we kind of peel away some of the layers, it's really the same drivers, proportionately the same, too, so specialty, pharmacy services. And then some organic growth, too, we're seeing our number of patients continue to increase period after period.
Irene Nattel: That's very helpful. And just one final question. Somebody in the opening remarks mentioned something about pharmacy automation or automation at PJC. Just wondering what that is and where you kind of are with the state of play in terms of the DCs, perhaps any automation or centralized fill.
Jean-Michel Coutu: Yes. So that automation was – it’s continued investment in our automation program. As you know, Varennes is a very sophisticated semi-automated warehouse, and we’re continuing to make investments to get the best out of our automation system. So we made some investments in our order storage and retrieval system over the past year, and we commissioned those – a lot of that technology in Q2.
Operator: Your next question comes from John Zamparo with Scotiabank.
John Zamparo: Congrats again to you, Francois, and best wishes to you.
Francois Thibault: Thank you.
John Zamparo: I wanted to ask about same-store sales through the quarter. And acknowledging the holiday period shift, did you see any meaningful change month-to-month?
Eric La Fleche: Well, there's a meaningful shift. And we gave you, on both food and pharma, a number, what we've -- the reported number, 5.3% on food, 3.9% adjusted for that 2 days. So it's a significant shift for only 2 days. So the rest of the quarter, following that shift, it's back to normal, and it's been pretty consistent since.
John Zamparo: Okay. Understood. And I know you don't want to get too far into the future on inflation expectations, but is it fair to say, all else equal and normalizing for the tax holiday, you'd expect a near-term acceleration? Whether it's meaningful or modest, you'd expect a near-term acceleration in food inflation given the higher U.S. dollar and the counter-tariffs?
Eric La Fleche: Well, that's what we experienced from Q1 to Q2, inflation in our basket did increase. We said, if we adjust for that tax holiday, our inflation number in Q2 is a bit below CPI, but it's higher than Q1. And so that was caused by the FX exchange rate. That was caused also by commodity prices. Some of them are quite high, nothing to do with tariffs. So that's happened and continues to happen. So we hope it will continue to stay around the current levels, and then we'll see going forward. Counter-tariffs are not good for inflation. And on the food side, we have to manage through it. We're managing as best we can to find sources of supply to protect our cost, to protect our retail, to minimize inflation, but it puts some inflationary pressures. So managing that really closely to deliver value to customers because it's key to satisfying customers today, for sure. Hope that answers it.
John Zamparo: It does.
Operator: [Operator Instructions] Your next question comes from Chris Li with Desjardins.
Chris Li: Let me also extend my congratulations to you, Francois. Best wishes. Congrats on a fabulous career.
Francois Thibault: Thank you, Chris.
Chris Li: I wanted to ask about -- first, maybe a favorite topic, on SG&A expenses. Wondering, if you were to exclude the higher energy costs in Ontario, which I think to be more transitory because it was winter, full winter, what would the SG&A rate have been? Would it have been notably improved more than what you reported?
Francois Thibault: Yes. So the combination of these 2, I mean, we have pressure from several lines, as I said, but these 2 stand out. And we're not making excuses, we're just giving you facts of what we have to manage. But these 2 items combined, the energy cost and the partnership fees, this is more than a 20% year-over-year increase. So they're the big increases. If you had removed them, then yes, we would have shown a better SG&A as a percentage of sales and a better year-over-year increase. But that's what we have to deal with and that's how the numbers came out.
Chris Li: Okay. That's helpful. And I think you mentioned last quarter that Q2 of last year was sort of the peak in terms of the duplication.
Francois Thibault: Yes. Q2, Q3 were sort of the peak quarters in terms of duplication costs and transition. So if nothing else had changed, yes, the SG&A would have been better than what we reported today, for sure. We no longer have these costs. But as I said, we've had pressures from other lines. And overall, I'm pleased that we were able to end with an SG&A level that still is lower as a percentage of sales than last year. But you will have a similar situation in Q3 as well that we're comping.
Chris Li: Okay. And maybe just a couple of questions for Jean-Michel. Just do you have any sort of update on Bill 67 and when the government might pass approval?
Jean-Michel Coutu: Yes. So Bill 67, we were expecting it sometime this spring. There's been some delays as they work through the regulations and finalizing the scope. So we're expecting the regulations to pass sometime in June. Now that said, the AQPP is still negotiating pharmacist compensation. So right now, the way we look at it is we think sometime in probably Q1 -- late Q4 or early Q1 that we'll start getting the benefits, the full benefits, of Bill 67. That's kind of our outlook on that portion of the business right now.
Chris Li: Okay. That's great. And my last question is just on specialty drugs, just because Ozempic is such a big seller in Canada. I just want to get your thoughts, as it becomes generic next year, I think the gross profit dollars on generic drugs are generally higher than branded. I'm just wondering what type of impact do you think that would have on Jean Coutu? Is it going to be notable? Really, just maybe high-level comments on that would be great.
Jean-Michel Coutu: Yes. First of all, the genericization of Ozempic remains still to be seen. Obviously, Novo Nordisk is going to fight it. So it's tough to call when it's going to happen. We know it's going to happen eventually. But when, your guess is as good as mine. We're not going to disclose yet what the impact of it is going to be on our financials. But yes, obviously, there will be -- every time there's genericization, there is deflation in our top line sales. So we will calculate it based on when the timing comes.
Chris Li: But it will be good for your profit line, right? It should be accretive even though it's deflation on the top line.
Jean-Michel Coutu: Yes. Generics, usually, it hurts the top line, but it’s good for margin.
Operator: Your next question comes from Michael Van Aelst with TD Cowen.
Michael Van Aelst: Can you just clarify or provide more color on how those counter-tariffs are being adjusted for or passed through? You did mention that you're getting some support from your vendors, but maybe break down, to the degree you can, roughly how much is being absorbed by vendors versus absorbed by Metro, versus being passed through to higher prices?
Marc Giroux: Michael, it's Marc here. It's case by case, and it's a very fluid environment. So it would be very difficult to break that down. Our teams, our sourcing teams, are looking for alternatives. So in some instances, we're sourcing elsewhere from the U.S. Some of the vendors have fields in other countries than the U.S. So they are shipping from those other countries instead of the U.S. So product by product, case by case, it's a very fluid situation. But overall, we've been able to -- the impact on price, and as Eric said, the impact on inflation, we haven't seen any impact in Q1.
Eric La Fleche: Q2.
Marc Giroux: In Q2, sorry.
Michael Van Aelst: And is Metro being pushed to absorb some of it as a result?
Eric La Fleche: Like I said, it’s been only a few weeks, and it changes every day, as we know, when we read the papers. So people are trying to wait and see before making big changes. So yes, we’ve received some cost increases related to counter-tariffs. We asked for 6 weeks’ notice from those suppliers. So in mid-April, starting now, some small cost increases related to tariffs can start to be reflected. But we’ve been working with our vendors to justify, to provide government codes. So whatever is subject to counter-tariff, we try to measure as best we can to minimize the cost for us and the retail price for the customer. But we’re working with them, and they want to protect – some of them want to protect their volumes. Like Marc said, they source the product from different countries. Some of those large berry vendors talk – actually, if you take this call, they have fields in Mexico and some of the berries that we’re selling these days are coming a lot more from Mexico than in the U.S. So it’s one way to protect costs here. So like I said, it’s a fluid situation. It changes every day. We’re monitoring closely, and we’re trying to minimize as much as we can the impact.
Operator: The next question comes from Tamy Chen with BMO Capital Markets.
Tamy Chen: Just a quick follow-up question on online grocery. Very good growth this quarter, I see you've mentioned the drivers. Can you just talk about right now, is grocery e-commerce as a channel for you? I mean, is it earnings dilutive for you? I assume it is because of the fees. And just generally, how do you think about this segment as, for several quarters now, I believe you reported very good year-over-year growth. Like, are you seeing this as starting to gain some more and more momentum? And do you think at some point in the near future, you may need to invest in some more infrastructure supply chain of your own to continue to service this?
Marc Giroux: So in answering your first question, the first part of your question, it is earning – so the overall business is profitable for the bottom line, but it is dilutive as a percentage of margin. We’re looking at e-commerce also as a loyalty play. Our consumers, our customers, that are shopping e-commerce are also shopping our stores. So for us, it’s important, as we continue to serve and meet the needs of our customers. And our flexible delivery platform through third-parties, express delivery, click and collect allows us to meet the customer demand. Growth over the last quarter has been stable. It’s continuing to grow, and we want to meet the customer where they are and where their needs are. And currently, our current delivery platform through third party and our own platform is allowing us to continue to grow. When time will come to reflect on investment, we will. But for now, we have the capacity to continue to serve those customers.
Operator: There are no further questions at this time. I will now turn the call over to Estelle for closing remarks.
Estelle Riva: Thank you all for your interest in Metro, and please mark your calendar for third quarter results on August 13. Thank you.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines.